Operator: Good morning, and good evening, ladies and gentlemen. Thank you, and welcome to DouYu International Holdings Limited's Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will be hosting a question-and-answer session after management's prepared remarks. I will now turn the call over to the first speaker today, Ms. Mao Mao, Vice President of Capital Markets of DouYu. Please go ahead, ma'am.
Mao Mao: Thank you. Hello, everyone. Welcome to our Fourth Quarter and Full Year 2020 Earnings Call. Joining us today are Mr. Shaojie Chen, Chairman and Chief Executive Officer; Mr. Mingming Su, Chief Strategy Officer; and Mr. Hao Cao, Vice President of Finance. You can refer to our fourth quarter and full year 2020 financial results on our IR website at ir.douyu.com. You can also check a replay of this call when it becomes available in a few hours on our IR site.
Hao Cao: Thank you, Mao Mao. Hello, everyone. Overall, total revenues in the fourth quarter of 2020 increased by 10% year-over-year to RMB 2.27 billion, while total revenue in the full year of 2020 increased by 31.8% year-over-year to RMB 9.6 billion. Additionally, in the full year of 2020, adjusted net income was RMB 541.6 million, and adjusted net margin reached 5.6%, implying a net increase of approximately 80 basis points from the prior year. Total net revenues in the fourth quarter of 2020 increased by 10% year-over-year to RMB 2.27 billion, with around 91.3% of total revenues generated from live streaming and the remaining portion generated from advertising and others. Live streaming revenues in the fourth quarter of 2020 increased by 9.4% to RMB 2.07 billion from RMB 1.89 billion in the same period of 2019, this increase was primarily attributable to our platform's improved user paying experience, which continues to be driven by our ongoing product refinement efforts as well as also in relation of user paying habits resulting from our increased application of platform paying scenarios. As a result, paying users in the fourth quarter of 2019 increased to 7.6 million from 7.3 million in the same period of 2019. In addition, the in-house diversification of our content ecosystem helped to improve the monetization efficiency of both game and nongame segments on platform. As such, our -- increased to RMB 273 in the fourth quarter of 2020 from RMB 261 in the same period of last year.
Operator: Thank you. We will now begin the question-and-answer session.  The first question comes from Lei Zhang from Bank of America. Please go ahead.
Lei Zhang: My question mainly regarding the merger deal with Huya, do we still maintain your time line to complete the deal by first half of this year? Secondly, regarding the anti-trust regulation about the Internet space, do you see any impact to our major deal yet?
Mingming Su: Okay. Thank you for your question. And currently, the potential merger between DouYu and Huya is still on track. Our teams are efficiently collaborating with third-party entities and working around the clock. But the exact timing of the closing also depends on the approval process by the SEC and the relevant domestic regulators. As such, we are not able to share the closing date for now. And for your second question, as we know, authorities have gradually improved the industry policies and the regulations following the rapid development of the domestic Internet industry over the past few years. We can see that the regulators have issued a revised antitrust guideline with the goal of promoting positive and fair competition among Internet industry participators. So relative to the guidelines, we expect a level playing field across the industry, which will also support DouYu's long-term development. For the entire pan-entertainment segment, we look at industry competition is still relatively fierce as of this stage, while the overall competitive landscape continues to change. We believe that DouYu has the potential to further improve its user scale and revenue performance. One of the key goals of our merger with Huya is to further integrate the high-quality resources of the two platform, improving our operational efficiency and work with Tencent to jointly expand our service offerings along the digital value chain as well as in the online pan-entertainment segment. This will increase the overall value of the combined platform and unlock greater growth potential in the future.
Operator: The next question comes from Daniel Chen from JPMorgan. Please go ahead.
Daniel Chen: I will translate myself. So my question is related to the competition landscape. So could management give us some update on the competition landscape since the fourth quarter this year in the game streaming industry? And also, after the potential merger with Huya, what kind of change are we going to see in the market in terms of the competition? And also, as we have already signed a merger agreement, so what kind of important procedure are we going to see in the future before the transaction happened?
Shaojie Chen: So regarding your question on the competition, we believe that the industry's competitive landscape has not changed significantly since the fourth quarter last year. As the leading game-centric live streaming platform, we would continue to build our game-centric content ecosystem and explore other game-related areas, such as video and community segment, on top of our live streaming content. And so I think short-form media platform enters the game live streaming market, we have seen both new traffic and customer applications increase, which has also helped to raise the ceiling of the entire game live streaming market. We took this opportunity and launched the version 7.0 of our app at the end of last year. And with the updated and refined video and community content, we can now provide more diversified content to our users. From the competition perspective, we believe that the industry competition in the short run mainly revolve around the refinement of segment operations, the high-quality content and the diversification of monetization as well as rapid deployment of blockbuster games. And in the long run, we expect that competition will focus on the rapid product upgrade and innovation of content forms, such as video entertainment content; the development of communities, which are the inflow of community; and the integration of resources and both content down the industry value chain. And we have been focused on building a game-centric content platform since inception, and we have clear advantage in terms of professional content creation and content accumulation, vertical game user base formation and build-up of talent agency as well as cultivation of professional eSports content ecosystem. Now we have created a stronger content barrier. And as a result, we have clear leading advantage in terms of attracting and maintaining the core game user base. So looking forward, we believe that with the lifted ceiling of the entire industry, we will take advantage of the demand for content and management strength to further expand our user coverage and user traffic. And after the merger, we expect more in-depth commercial cooperation between the two platforms as well as with Tencent, which we believe will further enhance the positioning of the combined entity. And to your second question, as Mr. Su just responded, currently, the merger is still ongoing. And we are looking forward to our next steps, including getting approval from the SEC and from the relevant domestic regulators. And for now, we cannot really tell the timing for the deal.
Operator: The next question is from Alex Liu from China Renaissance. Please go ahead.
Alex Liu: I'll translate myself. I noticed that since the Company has made a notable investment on short video and the virtual community in the past few months, could management share more color there? And the second question is on the League of Legends Championship. What are the major takeaways and observations from that event? And finally, what are the major revenue drivers for World of War?
Shaojie Chen: Okay. Regarding your first question, we are currently developing the video and community segments on top of our live streaming products content and expect the three avenues to become the key pillars for our integrated game-centric content ecosystem. For live streaming, we will continue to produce high-quality, informed content. In addition to our existing games, we will also closely monitor any new blockbuster games in the market, explore new multiple games attractive to our users, develop our own eSports events and programs and produce more content related to official interest group. And secondly, on the video business, we have already completed the first phase of infrastructure development, and we have already launched the Version 7.0 app with updated video and community segment at the end of last year. And we have also introduced video content creator intuitive program to accelerate for UGC generation on our platform. And together with our PGC, we have established extensive content library to satisfy users' diverse demand. In addition, for our community business, we upgraded the community segment based on the bar and created interest groups focusing on game discovery, introduction and discussion.
Mingming Su: Let me answer your second and third question. The third -- the second question is about the active tournament. As we know, the League of Legends, the World Championship is the premier League of Legends official annual tournament and has always attracted a larger number of viewers. In the first half of 2020, many large-scale offline eSports tournaments were postponed or canceled because of the pandemic, making the tourney one of the few global eSports events of 2020. Organized in Shanghai, the tourney attracted a strong domestic viewership and was widely followed by Internet users in China. The League of Legends has always been a strong segment on DouYu's platform. In fact, we have a large number of well-known streamers with DouYu and a marketed streamer and content system for this segment. In addition, we signed contract with many famous domestic and international League of Legends eSports teams, such as Arteezy, CDG, TES and DWG. Combined with this strength, our exclusive partnerships with multiple social platforms make us the most popular game live streaming platform for the LoL Championship and saw record-high operating metrics during the tournament. It also helps us attract more high-quality user traffic to cement our platform as the go-to destination for watching LoL tournaments. And for your third question, about how to increase revenue. We will continue to direct and refine our monetization products, tailor these product features based on deeper -- user profile, improve existing users' ARPPU and cultivate new users paying habit to further improve daily revenue contribution and paying ratio. To maintain sustainable revenue growth, we plan to leverage our platform-wide event and most scale monetization events to raise our penetration rate of paying users and ARPPU. Under our game-centric content ecosystem, we will further diversify our content offerings and increase revenue contribution of our nongame segments by channeling user traffic to segments with relatively high monetization efficiency, such as paying entertainment and shows.
Operator: The next question is from Feiya Zhao from Haitong International. Please go ahead.
Feiya Zhao: So my first question is, what is the revenue split by game and nongame content? And our outlook of the ARPPU and number of paying users in 2021? And my second question is, could you please give us the breakdown of the content cost in the third quarter and also the trend of the signing-up bonus of the broadcasters in the past few quarters? And how should we think about return going forward?
Mingming Su: Let me answer the first question. We expect our game segment to continue to be the major live streaming revenue contributor to our platform. The game segment has demonstrated a strong growth potential in both ARPPU and total paying users. Revenue generated from our games segment is expected to account for 50% of our total revenue in 2021 and we plan to increase this percentage going forward. For nongame segment, we will increase the revenue contribution by strategically allocating traffic between segments. As we continue to focus on platform-wide monetization events and increase the penetrating of small-scale monetization events, explore more scenarios to cultivate users' paying habits and increase their willingness to pay, both our total paying users and ARPPU will further increase.
Hao Cao: Regarding your question on the signing bonus, the quarter-over-quarter increase of streamer signing bonus during the fourth quarter was due to two reasons. First, we continue to recruit new streamers for a newly launched game segment to maintain a high-quality content offerings on our platform. Second, we increased our investment of foreign streamers in the overseas market. Looking ahead, the signing bonus will increase at a stable rate due to our rapid international expansion and increasing signing bonus of overseas streamers and house streamers from new game titles.
Operator: Our last question comes from Thomas Chong from Jefferies. Please go ahead.
Thomas Chong: I have a question regarding the bandwidth cost. Can management comment about the sequential trend in Q4 as well as how we should think about the driver or the bandwidth cost going forward? On the other hand, for sales and marketing expenses, can you also comment about the sequential change as well as the driver for sales and marketing going forward?
Hao Cao: Okay. With respect to the bandwidth cost, in the fourth quarter, bandwidth costs increased slightly because of intensive tournaments and more frequent peak usage period. Apart from that, we provided users with more high-quality live streaming video options, such as 4K high-definition video. We expect bandwidth cost in 2021 to increase along with the increase in users. However, bandwidth costs as a percentage of total revenue will continue to decrease. The second question is about the sales and marketing expenses. Sales and marketing expenses, excluding share-based compensation, mainly includes staff salaries and other related expenses, channel promotion costs, sponsorship fees for our eSports teams as well as expenses for offline and online events. In the fourth quarter of 2020, sales and marketing expenses, excluding SBC, increased on a sequential basis. This increase was due to more eSports tournaments resulting to an increased marketing expenses and increased prizes for our self-organized eSports tournaments. We are quite positive towards the development of the eSports industry in the long run, and we will continue to increase our investments in eSports-related activities and each of our team sponsorships going forward. Meanwhile, we believe our user conversion will increase because of the updated features of platform, and we plan to in-house our channel promotions. Therefore, in the future, the absolute value of our sales and marketing expenses will increase, while as a percentage of our total revenue, sales and marketing expenses will continue to optimize.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I'd like to turn the conference back over to management for any closing remarks.
Mao Mao: Thank you for joining us today. If you have any further questions, please feel free to contact us or request to our IR site. Thank you, and have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.